Operator: Thank you for standing by. Welcome to the Woodward Incorporated Third Quarter Fiscal Year 2018 Earnings Call. At this time, I would like to inform you that this call is being recorded for rebroadcast and all participants are in a listen-only mode. Following the presentation, you will be invited to participate in a question-and-answer session. Joining us today from the company are Mr. Tom Gendron, Chairman and Chief Executive Officer; Mr. Bob Weber, Vice Chairman, Chief Financial Officer and Treasurer; and Mr. Don Guzzardo, Corporate Director of Investor Relations and Treasury. I would now like to turn the call over to Mr. Guzzardo.
Don Guzzardo: Thank you, Operator. We would like to welcome all of you to Woodward’s third quarter fiscal year 2018 earnings call. In today’s call, Tom will comment on our markets and related strategies and then Bob will discuss our financial results as outlined in our earnings release. At the end of our presentation, we will take questions. For those who have not seen today’s earnings release, you can find it on our website at woodward.com. We have again included some presentation materials to go along with today’s call that are also accessible on our website. An audio replay of this call will be available by phone or on our website through August 13, 2018. The phone number for the audio replay is on the press release announcing this call, as well as on our website and will be repeated by the operator at the end of the call. Before we begin, I would like to refer to and highlight our cautionary statement as shown on slide three. As always, elements of this presentation are forward-looking or based on our outlook and assumptions for the global economy and our businesses more specifically. Those elements can and do frequently change. Please consider our comments in light of the risks and uncertainties surrounding those elements, including the risk we identify in our filings. As previously announced, Woodward will be providing financial information as reported under U.S. GAAP and on an adjusted and an organic basis. Please refer to our press release and related tables, as well as the appendix of today’s presentation for the definition of adjusted and organic. We believe this will help in understanding both historical results and future outlooks. We also direct your attention to the reconciliations of non-U.S. GAAP financial measures, which are included in today’s slide presentation and our earnings release and related schedules. Management uses these non-U.S. GAAP and adjusted financial measures when monitoring and evaluating the ongoing performance of Woodward and each business segment. Now, turning to our results. Net sales for the third quarter of fiscal 2018 were $588 million, an increase of 7% from the prior year quarter. Organic net sales for the third quarter, which exclude L’Orange sales of $25 million, were $563 million, an increase of 3% from the prior year quarter. Net earnings were $49 million or $0.77 per share in the third quarter of 2018. Adjusted net earnings were $71 million or a $1.12 per share for the current quarter, compared to $54 million or $0.85 per share for the third quarter of 2017. Net cash generated from operating activities for the first nine months of 2018 was $162 million, compared to $184 million for the first nine months of the prior year. Free cash flow was $72 million for the first nine months of 2018, compared to $119 million for the same period of the prior year. Free cash flow for the first nine months of 2018 was negatively impacted by approximately $30 million of special charges. Now, I will turn the call over to Tom to comment further on our results, strategies and markets.
Tom Gendron: Thank you, Don. Welcome to those joining us today. Our Aerospace segment performance continues to be strong, while our Organic Industrial segment remains challenged. However, with the completion of the L’Orange acquisition, we are already seeing the anticipated favorable impact in our Industrial results on an adjusted basis. Before I get into more detail on the quarter, I’d like to address the issue of tariffs and the potential impact on Woodward. Clearly, imposition of tariffs can have a negative implication for the global economy as parties attempt to balance trade. For Woodward, the most notable impact would be in Aerospace and certain commodities used in both of our segments. As an aerospace supplier, the downstream impact of tariffs directed in this space could be impactful, but at this stage are not specific and are impossible to assess. With respect to commodities, Woodward generally designs both its customer and supplier contracts to insulate against the potential for rising costs. The imposition of tariffs is just one avenue of the -- for those increases. With respect to steel and aluminum specifically, most of our requirements are sourced domestically. While commodity prices have increased in certain areas, contract terms both customer and supplier have protected us to-date from significant impacts. Over the longer term, if tariffs were to remain in place, there could be significant impacts on cost and our ability to pass them along. We continue to monitor the situation and we will provide more information as available. Turning back to the quarter, let me provide some more detail on our market segments. Fundamentals within the overall Aerospace industry remain exceptionally strong as evidenced by new order flow recorded at the Farnborough Airshow, continued improvement in business jet and rotorcraft markets, and mounting global defense spending. Additionally, rising oil prices have historically accelerated this transition to more efficient aircraft. Building upon what are already historically strong backlog levels, Boeing and Airbus announced more than $100 billion in new aircraft orders during the Farnborough Airshow this past month. We have content on nearly 100% of the aircraft ordered during the show, which represent significant future Woodward sales. More specifically, our Commercial Aerospace business continues to be very strong driven by the ramp up of the new narrow body programs. During this period of heavy OEM growth, we have maintained solid profitability to leverage on increasing sales, improving productivity at our new facilities, and strong aftermarket activity. Our Defense business also generated solid results, reflecting increased global defense budgets, driving overall increased activity, more specifically ongoing strength in guided weapons. Turning to Industrial and focusing on the three main Industrial market segments. Within power generation, the Industrial gas turbine market continued to decline, but inventories are decreasing. We are optimistic that we are nearing the bottom. On a positive note, market demand is shifting toward gas turbines with higher Woodward content and we have aggressively reduced cost to address market conditions. However, it’s so unlikely that we will see improvement in gas turbine sales before 2020. Overall, economic activity is positively impacting certain areas within power generation, including distributed power applications, utilizing large natural gas and diesel engines, where we would anticipate improvement going forward. In renewables, the global market is growing. Our success in regaining market share on new customer platforms, including with Vestas, will begin to impact sales in fiscal year ‘19. In transportation, the volatility in the Chinese natural gas vehicle business has led to slower sales than anticipated. The announcement of the adoption of the China sixth emission standard, coupled with the recent rise in oil prices, should be a positive incentive for natural gas-fueled vehicles going forward. Oil and gas markets remained healthy, as rise in oil price is driving further investment. There is fueling activity within our large gas engine, steam and compressor products. The Woodward L’Orange business which we acquired on June 1 is performing very well benefiting from the ongoing improvements in the marine and oil and gas markets, including a strong aftermarket. While it’s only been one month since closing, we are optimistic on the opportunities ahead of us and integration is proceeding as planned. In summary, the Aerospace industry remains very healthy and Woodward’s Aerospace business is thriving. Activity levels at Farnborough, as well as recently announced defense spending commitments out of NATO highlight future opportunities. We have greatly expanded our market share through investments in industry-leading technology which will continue to create numerous opportunities in the future. We are encouraged that several of our industrial end markets are showing signs of improvement and we believe we are well-positioned as we go forward. We continue to drive innovation to enhance our leadership position, while remaining diligent in our efforts to align our costs with current demand levels. Finally, we are extremely excited about the addition of Woodward L’Orange and expect the business to provide a significant boost to our Industrial segment performance. Now, let me turn over to Bob to discuss financials.
Bob Weber: Thank you, Tom. Aerospace sales grew 14% this quarter compared to the prior year, driven by strength in Commercial and Defense OEM and very robust Commercial aftermarket activity. Commercial aftermarket sales for the quarter were up 19% due to both initial provisioning and MRO tied to record traffic growth and the resulting heavy utilization of the existing fleet. While we did not anticipate that this rate would continue through the year, we now expect the Commercial aftermarket growth rate for the full-year to be in the mid to upper teens. Aerospace segment earnings for the quarter were 20.3% of sales, compared to 18.9% in the same period last year. Segment earnings were favorably impacted by the higher sales volume in the quarter, particularly the aftermarket strength and was only partially offset by higher manufacturing costs related to the increased production levels. Turning to Industrial, third quarter industrial segment sales were down 5% compared to the prior year. Organic Industrial segment sales were down 18%, primarily due to weakness in industrial gas turbines, renewables and China natural gas truck sales this quarter compared to the third quarter fiscal 2017. Third quarter Industrial segment earnings were 5.7% of sales. Adjusted Industrial segment earnings were 10.2% of segment sales, compared to 10.8% in the prior year period. The decrease in adjusted segment earnings was primarily due to lower organic sales volume, partially offset by L’Orange operating earnings, excluding the impact of purchase accounting adjustments. At the Woodward level, R&D spending was approximately $5 million higher in the third quarter of 2018 compared to the prior year quarter. This increased spending relates primarily to new Aerospace programs and we expect the full year to finish at approximately 7% of total sales. Selling, general and administrative expenses were $55 million this quarter, compared to $45 million for the third quarter of last year. The year-over-year increase in SG&A expenses was primarily due to $11 million in special charges associated with the acquisition of L’Orange. The effective tax rate for the third quarter of 2018 was 9.7%, compared to 21.9% for the third quarter of 2017. The adjusted effective tax rate, which excludes the transition impacts of the change in U.S. tax legislation was 11.9% for the quarter, compared to 21.9% for the third quarter of 2017, primarily due to favorable resolutions of the prior period tax matters in the third quarter of 2018. The effective tax rate for fiscal 2018 is anticipated to be approximately 23% and the adjusted effective tax rate is anticipated to be approximately 18%. Looking at cash flows, net cash generated by operating activities for the first nine months of fiscal 2018 was $162 million, compared to $184 million for the first nine months of the prior year. Free cash flow for the first nine months of 2018 was $72 million, compared to $119 million in the same period of the prior year. Free cash flow for the first nine months of 2018 was negatively impacted by approximately $13 million of special charges. Capital expenditures were $90 million for the first nine months of 2018, compared to $65 million for the first nine months of 2017. We expect capital expenditures for the year to be approximately $130 million. For the full year, we now anticipate free cash flow to be approximately $165 million reflecting increased capital expenditures and working capital requirements. Lastly turning to our fiscal 2018 outlook, our outlook now reflects the acquisition of L’Orange. Total net sales are expected to be approximately $2.3 billion for fiscal 2018. With Aerospace sales up approximately 14% and Industrial sales flat to slightly up both as compared to the prior year. Organic Industrial sales are expected to be down approximately 12%. Aerospace segment earnings as a percent of net sales are expected to be flat to slightly up and adjusted Industrial segment earnings as a percent of net sales are expected to be up approximately 100 basis points both as compared to the prior year. Earnings per share are now expected to be approximately $2.75 based on approximately $64 million of fully diluted weighted average shares outstanding. Woodward’s overall outlook on an adjusted basis has improved. Adjusted earnings per share are expected to be approximately $3.80. This concludes our comments on the business and results for the third quarter of fiscal year 2018. Operator, we are now ready to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Sheila Kahyaoglu with Jefferies. Your line is now open.
Sheila Kahyaoglu: Hey. Good afternoon, everyone, and thank you.
Bob Weber: Hi, Sheila.
Tom Gendron: Hi, Sheila.
Sheila Kahyaoglu: On Industrial, organic volumes seemed like they decelerated in the quarter. Can you talk about some of the moving pieces and expectations as we move into 2019?
Tom Gendron: You said organic, right?
Sheila Kahyaoglu: Yeah.
Tom Gendron: Yeah. I think, Sheila, the -- we kind of highlighted it during the prepared remarks, but the industrial gas turbine sales continued to decline in the quarter. We see that decline decelerating, if you want to say, and as we move into ‘19, we really think we are hitting the bottom in 2019; and as we approach 2020, we should see the turn in gas turbines. Our renewable business, as we’ve highlighted in the past conference calls, we had lost out on a couple of the most current programs. We’ve, however, won back the next-generation which will start to materialize in sales in 2019. So we see the wind business picking up at ‘19. And finally, the volatility in the China natural gas market, all indicators are pointing up. We expect that to start turning in the fourth quarter and as long as the fuel prices, emission standards, and all that continue as we anticipate, it should be more positive in 2019. So those are the ones that have dragged us down this quarter, but we do see an inflection point starting to happen on those.
Sheila Kahyaoglu: Thank you, Tom. And then just on commercial aftermarket, I think you said mid-teens guidance for the full year but it would imply some sort of deceleration into Q4. I guess what -- how -- what are you seeing in the aftermarket, if you could give us some idea there? How much of it is initial provisioning versus legacy aircraft, and then how we should think about Commercial aftermarket as a whole?
Tom Gendron: Sure. The first is we are going to have a strong comparable to last year. So that’s one of the things that you see on the growth rate. But what we’d highlight is the Commercial aftermarket for Woodward is very healthy. On the MRO side, the key programs, the shop visits are up, engine shop visits on our key programs are up, initial provisioning and sales on the new programs are doing well. So that’s what’s been driving the very sizable growth we had this year. As we move into next year, I expect the market to still be very strong. We are just going to have really tough comparables as we move into 2019. But it’s not – that the market is decreasing, we are going to have a strong market both on the OE and aftermarket side for Commercial, but I guess you guys should be ready for some tougher comps as we move into next year.
Sheila Kahyaoglu: Great. Thank you.
Operator: And our next question comes from Robert Spingarn with Credit Suisse. Your line is now open.
Robert Spingarn: Good afternoon.
Tom Gendron: Hello.
Bob Weber: Hey, Rob.
Robert Spingarn: Hi. I wanted to ask you a little bit about L’Orange and what -- how you think about it contributing on an annual basis. Did you say it was $25 million in sales for the one month that you had it in the quarter?
Tom Gendron: That’s right.
Bob Weber: Yeah.
Robert Spingarn: Right. So how do we think about that Tom on an annualized basis both from a sales, margin and cash flow perspective? And then, I am wondering if you can, Bob, maybe you can clarify or explain why such a heavy allocation asset wise to goodwill rather than PP&E seems kind of light for this heavy industrial business.
Tom Gendron: Okay. Well, we will take that in two parts, Rob.
Bob Weber: Yeah.
Tom Gendron: First part, we see L’Orange performing to the pro forma when we announced it. So, both from sales and the EBITDA margin are tracking and we feel very positive that we will deliver those results. So, owning it for a little over a month here, we are getting another business better. We are confident in our outlook that we gave and I see it delivering those results as we move forward here in the rest of ‘18 and into ‘19, so…
Robert Spingarn: And what kind of cash conversion?
Tom Gendron: Well, it’s going to be strong. Yeah. It’s good margins, good cash conversion. It will be additive to the company, that’s for sure.
Robert Spingarn: Okay.
Tom Gendron: And then the second part of the question, Robert.
Bob Weber: Robert, yeah. So, from our perspective, Rob, we don’t really see it as that heavy on the goodwill side. I think it’s fairly in line when you look at other comps, and when I did the valuation study, it’s pretty much in line with most of the categories. They have a good strong backlog and that always garners some intangibles associated with it, but we didn’t really see it out of line. So, I don’t know if you had some specifics, we’d be happy to...
Robert Spingarn: I just thought the intangibles looked a little light at $500 -- a little high at $500 million plus and then figured given that maybe the amortization allows for earlier accretion had it been balanced toward PP&E and a flatter depreciation curve.
Bob Weber: We would agree with you. I mean intangibles -- that’s why I mentioned kind of, one, a very strong backlog, obviously, very strong customer relationships. So, a lot of those intangibles did garner a lot of the value. You saw the LTSA term on that. So there were some things that were driving the intangible portion not as much we thought the goodwill portion.
Robert Spingarn: Okay. And then just on the free cash flow guide for the year you mentioned higher CapEx, if we can talk about that a little bit also the working capital. I guess some of this was transaction related in the quarter, but not all of it, not all of the guide down from last time?
Bob Weber: No. As you know, I will take the last part first. As you know, we are fourth quarter driven and more importantly, perhaps, latter part of the fourth quarter driven, and so that drives a lot of working capital both on the inventory and the receivables side into the latter part of the year. So that pattern is not any different. It’s a little bit stronger this year in terms of working capital requirements. We still -- as Tom said, there is a number of areas particularly in the industrial side that we see potential for improvement, but it would be late in the quarter and that’s what’s going to drive that working capital in particular.
Robert Spingarn: Is that inventories, receivables?
Bob Weber: Predominantly, this quarter, its inventories. Next quarter, hopefully those inventories will be turned into receivables.
Robert Spingarn: Okay.
Bob Weber: On the CapEx question, two main features, one is obviously the addition of L’Orange now and their CapEx that comes with that. And on the second part is our continuing Duarte to Drake transition and the work we are doing renovating the Drake facility.
Robert Spingarn: Okay. Thank you.
Bob Weber: Sure.
Operator: Thank you. And our next question comes from David Strauss with Barclays. Your line is now open.
David Strauss: Thanks. Good afternoon.
Bob Weber: Good afternoon.
David Strauss: Following up on Rob’s questions, so I think previously for L’Orange, you have talked about $0.35 in fiscal ‘19 accretion. I think you did better from a financing perspective than you would have thought or had originally baked into that guidance? And unclear how you were handling all of the intangible amortization and that number whether it was just back -- if you were excluding the backlog amortization or not, could you just clarify how you’re thinking about the accretion number and what actually is included in that from an amortization standpoint?
Bob Weber: Yeah. So the $0.35 original -- so, A, that was very early on in the valuation process, which I think we called out at the time. We had not gotten the final numbers in the intangible portion, as we just alluded to, it did go up and so that $0.35 does include that element of it as well. So that’s really -- other than that we are pretty close to in line. Operating performance is in line. The intangible amortization is slightly up and that’s probably where we will end up.
David Strauss: Okay. So, within that amortization number the backlog amortization that was excluded from that number?
Bob Weber: Yes. It was.
David Strauss: Okay. And then, on the on the adjusted EPS, so the moving up to $3.80, could you just help us walk to what change there, it sounds like obviously Aerospace is better, Industrial pre-L’Orange worse, and then, L’Orange, I guess, being a creative from an adjusted standpoint, is that how you get to that number?
Bob Weber: You do. You pretty much have three major pieces, slight tax impact and that means that you got them all.
Tom Gendron: And I would just add improvement in the Organic Industrial operating business as well.
Bob Weber: Right. So going into the fourth quarter.
Tom Gendron: Going in the fourth quarter we anticipate…
Bob Weber: Yeah.
Tom Gendron: … better margins in Organic Industrial as well.
David Strauss: Okay. And then, last one deleveraging how you’re thinking about that, is it still the plan to take out a couple $100 million? I know you have a couple of maturities next year but is the plan still to take out a couple $100 million in debt next year?
Bob Weber: It is, yeah.
David Strauss: Okay. All right. Thanks, guys.
Bob Weber: Sure.
Tom Gendron: Yeah.
Operator: Thank you. Our next question comes from Drew Lipke with Stephens. Your line is now open.
Drew Lipke: Yeah. Good afternoon, guys. Thanks for taking the question.
Tom Gendron: Hi, Drew.
Bob Weber: Hi Drew.
Drew Lipke: So we saw -- in Aerospace saw a nice step up in incremental margins this quarter, which is encouraging. What was the impact of increased manufacturing expenses, I think you noted that just associated with the narrow body ramp in the quarter. And then how are you tracking in terms of your ramp down the learning curve for the narrow body production ramp just relative to your internal expectations?
Bob Weber: Yeah. What I would say is we are tracking pretty well to our plan. When we thought of the increased manufacturing subs obviously we got the full factory load as were costs as we are moving into the ramp up. We are quickly moving down the learning curve. So we are positive about the performance of our operations to those plans. And as we look forward into what we said 2019 was going to be our year to hit 20% for the Aerospace segment, we are definitely on track to get there.
Drew Lipke: Is it the commercial OE mix that could limit you to the 20% just given the progress on the OE ramp and then the strength in aftermarket?
Bob Weber: Well, definitely it’s -- the mix will be a factor and next year we are going to be up substantially on the OEM side. So that’s kind of the balance in effect we have between the higher OE with a strong aftermarket and better operational performance. So it’s all those factors together. But that’s a part of -- a big part of it.
Drew Lipke: Okay. I think you talked about in your prepared remarks R&D as a percent of sales at 7%. I think that’s even as we are layering in L’Orange here. I mean, I think that’s higher than the previous guide 6.5%. Can you just elaborate on what that’s tied to and maybe going forward how we should think about R&D as a percent of sales just longer term?
Tom Gendron: Go ahead, Bob.
Bob Weber: Yeah. Yes. You’re right it was 7%. Yes. There is a L’Orange element to that. There is also as we mentioned the aerospace wins that we announced earlier in the year, didn’t necessarily announced all of them. But it’s really driven by new programs spend. I would say, we are not going to see significant -- every time I say that, we will win something new, I hope and the R&D will go up again. But at this point, not looking at any nominal increases and watching it come down a bit with the sales growth.
Drew Lipke: That’s helpful. Thanks, guys.
Operator: Thank you. Our next question comes from Christopher Glynn with Oppenheimer. Your line is now open.
Christopher Glynn: Yeah. Thanks. Good afternoon.
Tom Gendron: Good afternoon.
Christopher Glynn: So going back to some of the comments on your aftermarket outlook for next year, you raised the point certainly about the tough comparisons. Will the idea be to look for something that kind of tracks flight hours for you next year as the reasonable proxy?
Tom Gendron: Yeah. We haven’t put together the outlook for investor disclosure as of yet for fiscal year 2019. But what I would highlight to you is that the MRO side is very strong. We see that continuing. We expect and that we are tracking above the flight hours or utilization rates just due to the demographics of the fleet and the products were on. The initial provisioning sales, I think, will still be strong next year, but it won’t be as big of an incremental change as we had this year. So, a combination of be a little above maybe, let’s say, average market fleet utilization. We have to wait and see when we give a little firmer outlook.
Christopher Glynn: Okay. That’s really helpful. And then on L’Orange, if we look at some of the updated Industrial segment guidance, it looks like the fourth quarter impact might be around half of that $0.35 outlook that was given for all of fiscal ‘19, putting together some imperfect numbers and trying to back it out. But could you comment on how lumpiness or seasonality works with that platform in general relative to the annualized run rates?
Tom Gendron: Yeah. Well, first, we haven’t had it long enough to really analyze seasonality. I am not sure there is a huge amount of seasonality at our initial look. What I would say though too is don’t forget the fourth quarter I highlighted earlier, our Organic Industrial business will be up in the fourth quarter. We have improved margins. So it’s a combo of that in L’Orange in the fourth quarter.
Christopher Glynn: Okay. And then on free cash flow bridging to next year, certainly the CapEx is higher this year. How might that inform how we think about next year and working capital to pull this year that turn relatively favorable next year?
Bob Weber: We hope so, yes. From a capital expenditure standpoint, a major project that we’ve been working on will be substantially complete and so we should see that taper off a bit. Hopefully, the working capital requirements kind of just in terms of this timing element of being shoved in the back of the quarter will also kind of modify a little bit as we get into ‘19 and so we should see increased capital growth in 2019.
Christopher Glynn: Great. Thank you.
Operator: Thank you. Our next question comes from George Godfrey with C.L. King. Your line is now open.
George Godfrey: Thank you. I just want to go back to the L’Orange EPS accretion. Given that you have had it now for a full month and actually two months ago since ownership. Do you have greater confidence in the ability on the synergy targets that you gave and I am specifically thinking about the sales, the aspect to expand the customer base, and I have a follow up?
Tom Gendron: Okay. We are -- we feel very good about the synergies that we outlined both on a cost, as well as on sales. Customer reaction has been very positive. Now it takes a little time to convert that positive reaction into new programs and sales. But we are confident that we are going to be able to drive the topline and achieve the $20 million of synergy savings that we highlighted. So we are on track. We feel good about it. The integration is going well. We are really positive about the team that came with L’Orange and the business is really solid.
George Godfrey: Got it. And then on the free cash flow, as we look to next year or I should say this year, the free cash flow conversion looks to be around 70% next year. Do you think that hits more like Woodward’s historical of 100%.
Bob Weber: Yes. As I say, I simply always come back and talk about the timing of these things. But that’s the difficult part to really address. But we should be more on a regular track next year, yes.
George Godfrey: Great. Thanks for taking my questions.
Operator: Thank you. And our next question comes from Michael Ciarmoli with SunTrust. Your line is now open.
Michael Ciarmoli: Hi. Good evening, guys. Thanks for taking the questions. Maybe, Bob, just to go back to the previous line of questioning on cash conversion, did you say you expected more capital growth in ‘19, so we should expect an uptick in FX for ‘19?
Bob Weber: No. I should have said more cash flow growth in ‘19.
Michael Ciarmoli: Okay.
Bob Weber: Not capital expenditure growth. Capital expenditures should come back down to the level that we’ve been kind of outlining for quite a while now and this year in particular because of the two main increases of L’Orange and the Duarte project, that’s really why we are above that normal while we want to be a normal level.
Michael Ciarmoli: Got it. And then maybe just to go back on, I think, it was David’s line of question on the Industrial margins sort of the core Organic business. So even despite the pretty sharp downward sales revision, I think you had that down 7%, now looking at down 12%. It sounds like the profitability of that organic would have kind of held in your prior range in that 10.5% to 11.5% range, is that the right assumption there?
Bob Weber: It would have. Yes. I mean this is a tough quarter, fourth quarter, we get some increased sales leverage and that helps a lot. So we should see improvement back toward a more normal level, the last few quarters in the fourth quarter of this year.
Michael Ciarmoli: Okay.
Bob Weber: In north…
Michael Ciarmoli: Got it. And then, realizing it’s probably pretty fluid with the tariffs the raw materials. But do you have a fairly good understanding knowing that you’ve only owned L’Orange here for a few months, just even layering in Brexit, what those implications could have on the overall business there?
Tom Gendron: Well, Brexit, I don’t see having any impact. The sales are very, very, very small in the U.K. So I don’t see that as being an issue. The material side, specialty steels and alloys, we will have to watch to see if these tariffs stay or if we get them resolved. At this point, we are analyzing all the supply contracts and we are trying to figure out the impact at L’Orange. So it’s a little challenging because you have to go through, because I think we’ve said in previous conference calls, a lot of our contracts we have material escalation clauses but there is always what we call a dead band in there And so there is a period where these price changes won’t affect us, but after a period of time they can. So we have to analyze the individual contracts, see where the tariffs and the pricing changes go and we are in the middle of that. We will report out at the end of the next quarter, if their tariffs are still in place and we have a better handle on the overall impact. But at the moment, we think it’s going to be small, and I am anticipating that this will get resolved. But we have to wait and see.
Michael Ciarmoli: Perfect. Thanks a lot guys.
Tom Gendron: Thanks.
Bob Weber: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Gautam Khanna with Cowen. Your line is now open.
Gautam Khanna: Yeah. Good evening. Thanks for taking the questions.
Tom Gendron: Good evening, Gautam.
Gautam Khanna: Hey. I wanted to ask in some quarters you guys have called out mix within the Aero OEM business has been more or less profitable than some platforms are less profitable than others and the like and getting back to the earlier question on kind of the LEAP engine, GTF single out ramp. I was wondering if maybe if you could characterize, does the OE mix actually improve as we move next year as you come down cost curve, is it a dramatic shift lift in OE as that -- as it gets on the learning curve or I am just curious how steep it actually is, considering it’s going to be getting into much higher volumes next year?
Tom Gendron: Yeah.
Gautam Khanna: Is that something that could provide a bit of a tailwind?
Tom Gendron: Yeah. There is definitely a positive tied to the learning curve and as we are going forward. So the answer to your question is, yes. It is a positive compared to fiscal year ‘18 as we go into ‘19. But on the other hand we will have higher overall OEM sales versus aftermarket in fiscal year ‘19.
Gautam Khanna: Sure.
Tom Gendron: So better margin on OEM, different mix, but that’s also coupled with improvements in the defense sales, which are generally carry good margin. So, overall, that’s how we are balanced and so I am saying we are going to achieve our target in fiscal year ‘19.
Gautam Khanna: And then on the flip side, Tom, to look at it another way, some of the legacy single-aisle stuff will fade down over time. Is that pretty profitable relative to where you might be on the new single aisles next year, in terms of profit per unit or what have you? So is that another headwind or should we just do it as OE mix improves period?
Tom Gendron: I would say OE mix improves overall and it’s not going to be…
Gautam Khanna: Okay.
Tom Gendron: It’s not going to be a tailwind and the aftermarket associated with those legacy is very good.
Gautam Khanna: Got it.
Tom Gendron: Yeah.
Gautam Khanna: Last quarter -- just on the gas turbine side, if you’ve seen any cancellation of orders or is it just kind of no new orders for a long time now. And then you sort of price down. Have you seen any sort of renegotiation of existing contracts or canceling that which is on order that’s amplifying the decline this year?
Bob Weber: What I would say is that the canceling of orders is not really the issue in terms of the way our contracts and our systems are set up with our customers in the gas turbine side. But what I would say is the definitely the volume and the gas turbine aftermarket and retrofits has plummeted. The OE is soft and we see that. And at this point, we are not calling the bottom yet, but we are pretty darn close to it. It’s just -- it has gone down…
Gautam Khanna: Okay.
Bob Weber: It has gone down that much. So in terms of the supply chain and contract negotiations, it’s a tough time in the gas turbine market both for our customers and for Woodward. Obviously, with our customers, they have issues with the supply base staying in business and that’s a lot of pressure and for Woodward we have the same thing as working through suppliers that have dramatically reduced sales. And I think we are managing that really well. We are able to handle all the disruptions that have occurred because that going forward, we are working with the OEMs how to create a positive going forward and be prepared for the recovery. So challenging times in the industry, I think we are handling it pretty well and we are pretty -- we are getting confident but we are pretty much at the bottom. We will probably be able to have a clear picture in the next two quarters, but we think we are pretty close.
Gautam Khanna: Okay. So I just want to be clear though, it’s not like I am wondering if this or you’re seeing the impact of both the lower volumes in the aftermarket in OE, as well as maybe lower pricing.
Bob Weber: The pricing has…
Gautam Khanna: But I am not sure how the comp…
Bob Weber: Yeah. Sorry, I didn’t answer your pricing.
Gautam Khanna: Okay.
Bob Weber: Pricing isn’t the issue.
Gautam Khanna: Okay.
Bob Weber: Okay. Sorry, I didn’t -- it’s not the issue.
Gautam Khanna: Okay.
Bob Weber: It’s the -- it’s all tied to dramatically lower volumes.
Gautam Khanna: Okay. Fair enough. Last one for me if you don’t mind, last quarter you guys had kind of stuck to that low double-digit commercial aftermarket sales growth for the year. If I recall I think Q3 last year was like a plus-30 comp or something and you still put up a plus 19%. Was there something about the phasing of the aftermarket in the quarter, was it very much like June-weighted or what have you or is it -- are you still seeing kind of very robust activity and I am just wondering how predictable it is or is it exceptionally lumpy, even within the quarters, is it tied to one or two customers, it sounded like it was pretty broad based. So, I was just wondering if there’s…
Tom Gendron: What I was saying…
Gautam Khanna: … if the visibility is actually very good.
Tom Gendron: Yeah. There is mixed visibility. What we look at first is we can track and work with our customers on scheduled shop visits. And that’s -- we could see that and then we knowing, we’ve got a lot of data on our product which is really a great thing and so we kind of calculate the hours what will be the extent of repairs based on the hours on the hardware. So, that we predict pretty well. We are also getting better about the initial provisioning. So we do really a lot of analysis working with our customers again on, who’s taking new aircraft, what routes are they going to fly and starting to look at what initial provisioning they are going to need, working with both our OEMs and the airlines, what initial provision they need? The thing with additional provisioning is it’s a little -- that I would call it, a little more lumpy because you get orders that are pretty big dollar amounts and they can vary from month-to-month. Overall, if you average them over a rolling 12-month period, they smooth out, but month-to-month, quarter-to-quarter you’re going to see some variation in that and that’s pretty normal. We are seeing a third party repair shops with piece part orders, pretty consistent, so we can kind of predict that. So we are really confident in the robustness of the aftermarket and that robustness continuing into next year. I would say that we will have some quarter-to-quarter variability, but the aftermarket is strong and we’ve had some great growth rates here from ‘17 to ‘18 and that’s the only reason we are cautioning that those growth rates are extremely high. And we are just kind of giving you a heads up that you might not project those same growth rates going forward. But the aftermarket strong and we will do really well with the aftermarket in fiscal year ‘19. Hopefully that’s helpful?
Gautam Khanna: I appreciate it.
Tom Gendron: Yeah.
Gautam Khanna: Yeah. I know it is like, maybe offline, I don’t know if you guys have given it, but have you given the mix of what percentage of commercial aftermarket is scheduled shop visits versus initial provisioning versus day-to-days fare?
Tom Gendron: No.
Gautam Khanna: I don’t know if that’s ever been disclosed, but…
Tom Gendron: No. We haven’t -- we’ve never done that. No. I mean.
Gautam Khanna: Yeah.
Tom Gendron: But we try to give color to it. But we haven’t been down to that granularity.
Gautam Khanna: Terrific. Well, thank you and best of luck, guys.
Tom Gendron: Okay. Thank you.
Bob Weber: Thanks.
Operator: Thank you. And our next question is a follow up from Robert Spingarn with Credit Suisse. Your line is now open.
Robert Spingarn: I just wanted to ask you a couple things on the military side. Just get an idea of where you are on JDAM production same on F-35, where you are relative maybe what your lead-time is to Lockheed on the ladder?
Tom Gendron: Yeah. Well, JDAM production if you’ve seen some of the press releases or the information on that has ramped up. We are right on schedule on our deliveries and our -- is great shape, I mean, we were fully ramped up to the requirements, that program strong going forward, at least we see for the next three years to five years.
Robert Spingarn: So your current numbers would reflect this sort of a standing rate at this point?
Tom Gendron: Yeah. The numbers today reflected current rate. There is Rob as you’re probably well aware, there are discussions of further rate increases. We have the capacity to do that. We’ve been working our supply base to ensure that they are ready. If and when that goes further production ramps occur, we will be able to deliver on those and capitalize on that.
Robert Spingarn: Okay.
Tom Gendron: On the F-35, yeah, we are both on the engine, as well as the airframe programs starting to proceed. I try to remember your detailed question on that I mean we are in good shape…
Robert Spingarn: Just clearly what your rate is, I mean, they are going to top out it like I don’t know, $160 million or some number like that at some point. Where you are relative to that?
Tom Gendron: In terms of capacity in place?
Robert Spingarn: And what you’re running at, I mean…
Tom Gendron: About run rate we are at?
Robert Spingarn: Yeah. In terms of ship sets?
Tom Gendron: Yeah. We are -- they are not at those rates today. I know that’s the future rates we are tracking.
Robert Spingarn: But some lead -- long lead stuff is going at those rates are coming close to that.
Tom Gendron: Yeah. Yeah. Rob, we are not there yet. I don’t think our lead times are quite as long maybe some of the other suppliers. But we will be approaching that as we move into next year as part of the defense strength that we see going into fiscal year ‘19.
Robert Spingarn: Okay. Okay. Thank you.
Tom Gendron: Yeah.
Operator: Thank you. Mr. Gendron, there are no further questions at this time. I will now turn the call back to you.
Tom Gendron: Okay. I appreciate everybody participating in today’s conference call. Thank you for your questions. We will look forward to seeing you over this next quarter and I guess talking to you next release will be in November. So, thank you again for joining us today.